Operator: Good day, everyone, and welcome to today's Inotiv Second Quarter Fiscal 2025 Earnings Call. [Operator Instructions] Please note, today's call will be recorded and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Steve Halper of LifeSci Advisors. Please go ahead.
Steve Halper: Thank you, Chloe, and good afternoon, everyone. Thank you for joining today's quarterly call with Inotiv's management team. Before we begin, I'd like to remind everyone that some of the statements that management will make on the call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place undue reliance on these forward-looking statements and the company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events, or otherwise. Please refer to the company's SEC filings for further guidance on this matter, including risks and uncertainties that could cause results to differ from forward-looking statements. Management will also discuss certain non-GAAP financial measures in an effort to provide additional information for investors. Definitions of these non-GAAP measures and reconciliations to the most comparable GAAP measures are included in the company's earnings release, which has been posted to the Investor section of the company's website, www.inotiv.com, and is also available in the Form 8-K filed with the Securities and Exchange Commission. If you haven't obtained a copy of today's press release yet, you can do so by going to the Investor section of Inotiv's website. Joining us from the company this afternoon are Bob Leasure, President and Chief Executive Officer; and Beth Taylor, Chief Financial Officer. John Sagartz, Chief Strategy Officer, will join us for the question-and-answer portion of the call. Bob will begin with some opening remarks, after which Beth will present a summary of the company's financial results for our second fiscal quarter of 2025, and then we'll open the call for questions. It is now my pleasure to turn the call over to Bob Leasure, CEO. Bob, please go ahead.
Bob Leasure: Thank you, Steve. Good afternoon, everyone. During the second quarter, there were some announcements and events which are likely to impact our industry and our business. Over the last past five years, Inotiv has been evolving and has embraced challenges and changes that we've seen in our business. We believe we are a better company because of the changes we have faced. We also -- we have also made significant investments to better prepare us for the future. These include acquisitions, the businesses that we have started, the RMS site optimization plans and the RMS and DSA site investments. This quarter, we stayed focused on our plans and continue to execute on many of the objectives, including continuing to focus on client satisfaction, client relationships, continued integration of our scientific services and efforts as one company, moving forward and improving upon the next phase of our RMS site optimization plan, and expanding our NHP boarding and colony management services. We also had the opportunity to settle open litigation related to a 3-year-old case in which we were a plaintiff, which we inherited with the Envigo acquisition. We settled this case for approximately $7.6 million and the proceeds were received in March. I'll spend a few minutes on our second quarter results and highlights. For the second quarter of fiscal 2025, total revenue was $124.3 million compared to $119.9 million in Q1 of fiscal 2025 and $119 million in Q2 of fiscal 2024, representing a year-over-year increase of $5.3 million or 4.4%. The year-over-year increase was mainly due to an increase in RMS segment revenue of $6.6 million, partially offset by a decrease in DSA segment revenue of $1.3 million. The RMS revenue growth was primarily due to higher NHP revenue. As I mentioned in our call in February, we continue to see geopolitical and macroeconomic risk and uncertainties for our company as do many other companies and industries do at this time. At this time, we expect to continue to see year-over-year revenue and adjusted EBITDA growth for the next two quarters of fiscal 2025. Our RMS second quarter revenue saw year-over-year growth and some of this was due to a very light Q2 of fiscal year 2024. We believe we do have some momentum in 2025 that we did not see in 2024 and as a result, believe we will continue to see year-over-year RMS growth in fiscal 2025 versus 2024. Our overall RMS operating margins improved and were the strongest operating margins since Q1 of fiscal year 2024. We believe we have further opportunity to drive margins higher as we complete the next phase of the RMS site optimization plan, which we announced in December of 2024. We also indicated this expansion plan was expected to be approximately $5 million investment with the intent to use tenant improvement dollars along with proceeds from the sale of owned facilities to pay for this consolidation project. We originally estimated completion was expected to be before the end of fiscal year 2026. Also, we estimated this plan would have an annual cost savings of approximately $4 million to $5 million a year from reduced repair and maintenance expense on facilities and lower cost of production, along with improved service for clients, while production capacity would be unchanged. We have continued to refine our optimization plan and related timing for this project and have further revised this plan. We now anticipate net annual savings of $6 million to $7 million on a capital investment of approximately $6.5 million, which will be paid for with the use of tenant improvement dollars and a portion of the settlement dollars received this month. In connection with our revised plan, we continue to have two properties under contract to be sold and that proceeds will be used to repay principal on our term loans. This project is now anticipated to be completed by March of 2026, which is approximately six months earlier than our original plan and we anticipate beginning to see savings benefits as soon as Q4 fiscal 2025. As with previous projects, we have executed in RMS, these additional investments will help modernize our existing footprint while allowing us to close older facilities. This revised plan will reduce capacity and we believe will create operating efficiencies and continue to support our animal welfare objectives. Additionally, we believe this plan allows us to remain agile and to increase capacity in the future if needed. We also continue to integrate and improve our North American transportation distribution systems, which we brought in-house in the first half of fiscal 2024. Over the past three years and including the current optimization plan, these initiatives have upgraded our operating facilities, improved efficiencies, decreased expenses, and improved margins, all while enhancing animal welfare, quality, and delivery for our clients. In aggregate, we believe these projects have delivered and will continue to deliver for Inotiv and for our clients and are improving the competitive positioning of our RMS business. Moving now to DSA. Revenue for fiscal Q2 were slightly down versus the prior year quarter and ahead of Q1 2025. We recognize we have had a deterioration of DSA margins over the last two quarters, which we are addressing. We had several expenses that were higher than normal, such as higher cost base NHPs being used in toxicology studies, plus we saw increased overtime and labor costs, additional utility costs and an increase in operating supplies. Some of this margin deterioration can also be attributed to a mix in business and lower general toxicology service revenues and some related to pricing. We will be focused on these variables and efforts to improve margins in future quarters. On a positive note, DSA quoting and awards remain in line with the last nine months as our book-to-bill in the second quarter of fiscal 2025 remained at 1.01:1 and our new orders were 27% ahead of Q2 of fiscal year 2024. Again, the start of this quarter saw strong quoting activity with awards picking up towards the end of the quarter. So far in the current quarter, we remain pleased with the level of quoting and awards. Discovery awards for the first half of the year are still running 6.2% ahead of the six months ended March 31, 2024, and we expect discovery revenue to begin to see sequential and year-over-year improvements in the second half of fiscal 2025. We consider one of our foundational attributes as a contract service and research model provider to be our commitment to our clients having a high-quality experience when they choose us as a partner. Our focus is to meet and exceed our clients' needs and expectations. We believe we accomplished this through scientific talent and speed we can bring to bear on the projects and the care and efficiency which we produce and distribute our feed, bedding and enrichment products, and research models to them. At critical steps along our clients' journeys with us, we monitor metrics of the quality of our product, our delivery, and the satisfaction of our client base. We have been very pleased with the efforts of our teams on all of these fronts and we continue to see improvements in these metrics we use to track the quality of the client experience. We believe this ongoing focus is critical to building confidence for both our new and existing clients and leads our clients to choose Inotiv as a preferred provider. Now, let me provide some comments on what we are seeing in the market today and on recent activities that have generated questions related to our industry. There's no doubt this has been an interesting time for our industry with recent announcements by the U.S. administration on tariffs to be levied on our international trading partners and more recently by the FDA on the future direction of drug development, and the active discussions surrounding changes within the NIH funding and objectives. First, on the FDA announcement, we broadly support the FDA's stated goals of reducing animal testing and the desire to reduce the time and cost required to bring new medications to market. In their recent official statement, the FDA noted the potential critical role that new approach methodologies or NAMs could have in achieving these goals. Such NAMs include technologies such as computer modeling, using cell and organoid-based methods, and the use of human tissues ex vivo as a contributory model for drug safety and efficacy. At Inotiv, many of our acquisitions and investments have been implemented, at least in part, if not sometimes wholly with the intent to help position us for the future, which is in line with the goals outlined in the 2022 FDA Modernization Act 2.0. Examples of some of our current service offerings, which are in line with these goals include predictive computer software, computational toxicology, bioinformatics, proteomics, ex vivo and in vitro cell-based assays, and assays we run in human cells and tissues. I want to remind everyone that we have been building these capabilities over many years and we consider the continuation of development of them to be critical for the future of smarter drug development and our role in this initiative. As we adopt these advanced new technologies, we see these potentially reducing the need for using animals in some circumstances and over some time period, but we do not yet foresee the complete replacement of the use of animals in bringing safe and effective new medicines to humans and animal patients. Indeed, on April 29, the NIH also made an announcement on the future of NAMs and their intent to prioritize the use of human-based research technologies. In their announcement, they made clear their hope that NAMs could enable drug discovery and development to be smarter and more efficient in the future. But they also noted and I quote, "traditional animal models continue to be vital to advancing scientific knowledge". We plan to continue our role helping develop and validate the NAMs alternatives, but until they are sufficiently predictive of complex human biology and are fully accepted as alternatives by regulatory authorities, we believe animal-based safety and efficacy testing will remain critical. Since the FDA announcement, I've also been asked specifically what percentage of our business comes from monoclonal antibodies as they were a major focus of that announcement as the first wave of drugs that would be focused on for NAMs-based testing. We do not track our business at this time in a way that enables us to specifically identify that data. However, from publicly available data, we know that around 15% of all medicines in development are monoclonal antibodies. Moving now to U.S. government's recent introduction of tariffs on virtually all of our international trading partners and the potential for those tariffs to meaningfully increase if the U.S. do not reach specific trade agreements with each of those partners. Let me address the potential direct impacts of the tariffs currently in place. For the majority of our business, the primary components of our products and services are sourced within the same geographies. That is most of what we need to deliver our products and services in the U.S., we source within the U.S. and the same is true for outside of the U.S. A material exception to this rule is the sourcing of NHPs, which we bring into the U.S. from certain Asian and African countries. For these, based upon current tariff levels, we will be paying the 10% tariffs and we will be working with suppliers and customers to mitigate the financial impact of these additional costs. Should the much higher tariff rates that have been talked about previously come to pass, we also expect to work with suppliers and customers to mitigate those potential additional costs as the NHPs are mission-critical to the safety testing of new medicines. If the higher tariffs are put into place and exist for some time, we are not in a position at this juncture to predict if or how our clients may prioritize studies or how our suppliers may prioritize and allocate their supply going forward. Based upon current tariffs announced, we have not yet seen any material change in demand. We believe we are beginning to see some cost inflation that is being linked to tariffs, for example, quotes for certain lab equipment and materials for construction projects. We are working to adapt our sourcing and planning strategies to largely mitigate these costs. Should higher tariffs come into play and/or be imposed for extended periods of time, we will continue to assess the financial impact and consider whether we will try to pass along some, if not all, of these costs to our client base. Overall, we remain confident going into the second half of fiscal 2025 and are also now preparing for '26 and '27. As I said earlier, the geopolitical and macroeconomic condition, risk and uncertainties will remain with us as they do for all companies. We continue to improve and we remain committed to building a business that will create value for our clients, employees, and our shareholders and look forward to our future. I'll now hand things over to Beth to provide a financial overview.
Beth Taylor: Thank you, Bob, and good afternoon, everyone. For the second quarter of fiscal 2025, total revenue was $124.3 million compared to $119 million in the second quarter of fiscal 2024. This was a $5.3 million or 4.4% increase in revenue from the prior year quarter. And as Bob said earlier, most of this increase was a result of increased NHP revenue within our RMS segment. RMS revenue for the second quarter of fiscal 2025 increased $6.6 million or 9.1% compared to Q2 of fiscal 2024. The increase in RMS revenue was primarily due to the higher NHP volumes sold, partially offset by lower average selling price for NHPs compared to the prior year quarter. DSA revenue in the fiscal 2025 second quarter was $45.3 million compared to $46.6 million in Q2 of fiscal year 2024. The year-over-year decrease in DSA revenue was primarily driven by a decrease in general toxicology services revenue. Overall, net new DSA orders this quarter were $44.5 million, which is a 5% increase over last quarter and a 27% increase over Q2 of fiscal 2024. The conversion rate in the second quarter of fiscal 2025 was 34.1%, up from 30.1% in the prior year period. The DSA cancellations and negative change orders in the second quarter of fiscal 2025 were approximately 28% lower compared to the prior year second quarter. Cancellations in the trailing 12-month period were approximately 7% less than the prior period. The overall operating loss for the second quarter of fiscal 2025 decreased $40.2 million from $43.1 million in the second quarter of fiscal 2024 to $2.9 million in Q2 of fiscal 2025, primarily due to the $26.5 million charge related to the agreement in principle and subsequent Resolution Agreement and Plea Agreement with the Department of Justice that was incurred in the second quarter of fiscal 2024 and the $7.6 million settlement payment we received during the second quarter of fiscal 2025, in addition to the $5.3 million increase in revenue previously mentioned. Consolidated net loss attributable to common shareholders in the second quarter of fiscal 2025 totaled $14.9 million or a $0.44 loss per diluted share. This is compared to consolidated net loss attributable to common shareholders of $48.1 million or $1.86 of loss per diluted share in the second quarter of fiscal 2024. For the second quarter of 2025, adjusted EBITDA was $8 million or 6.4% of total revenue compared to $3.1 million or 2.6% of total revenue for the second fiscal quarter of 2024. Non-GAAP operating income for our DSA segment in the second quarter was $5 million or 4% of total revenue compared to $8.2 million or 6.9% of total revenue in the last fiscal year second quarter. As Bob mentioned, we are focused on our DSA margins and we expect to see improvement in future quarters. In addition, as we experienced an increase in discovery service revenue and continue to fill recently added capacity, we believe we will see margin improvement through operating leverage. The book-to-bill ratio for DSA in the second quarter of fiscal 2025 was 1.01:1. Our trailing 12-month book-to-bill was 0.93:1. DSA backlog was $130.8 million at March 31, 2025, compared to $130.4 million at December 31, 2024, and $142.1 million at March 31, 2024. In our RMS segment, non-GAAP operating income in the second quarter of fiscal 2025 was $15.6 million or 12.5% of total revenue compared to $8.2 million or 6.9% of total revenue in the second quarter of fiscal 2024. Interest expense in Q2 of fiscal 2025 increased to $13.4 million from $11.1 million in the second fiscal quarter of 2024, primarily due to interest incurred in relation to the second lien notes issued in September of 2024. Our balance sheet as of March 31, 2025, included $19.3 million in cash and cash equivalents as compared to $21.4 million on September 30, 2024, and $38 million on December 31, 2024. In the second quarter of fiscal 2025, we saw significant fluctuations in our working capital based on the timing of NHP deposits required by our suppliers and when we get paid for sales of NHPs by our clients. Total debt, net of debt issuance costs as of March 31, 2025, was $399.5 million compared to $393.3 million on September 30, 2024. This includes $113.1 million of convertible notes as of March 31, 2025, and our second lien notes of $20.5 million. Cash used in operating activities was $17.3 million for the first six months ended March 31, 2025, compared to $10.4 million of cash provided by operations for the six months ended March 31, 2024. Capital expenditures in the second quarter of fiscal 2025 were $5.5 million or approximately 4.4% of total revenue. The second quarter fiscal 2024 capital expenditures were $7 million or 5.9% of revenue. We continue to expect our annual spend for CapEx for fiscal year 2025 to be less than 4% of revenue. We have not provided formal financial guidance for fiscal year 2025. While we continue to feel positive about the progress we have made in recent quarters, we are not providing formal fiscal 2025 guidance at this time. As we stated previously, we hope to provide guidance once we have greater clarity on the market and client demand and clarity on any impact to our business once there is more information on tariffs. Our current operating plan forecasts compliance with the updated covenants under our latest amendment to the Credit Agreement entered into in September 2024. And with that financial overview, we will turn the call over to our operator for questions.
Operator: [Operator Instructions] And we'll take our first question from Matt Hewitt with Craig-Hallum Capital Group. Your line is open.
Matt Hewitt: Congratulations on a good quarter and the progress that you've made, Bob and Beth. Maybe first up, and thank you for providing the details on some of the movement you've seen here with the FDA and NIH. But regarding the FDA, I'm just wondering, and you provided some of the services that you're already providing that kind of address what the FDA is seeking or looking for. But I guess, since that announcement came out, have you changed your marketing to make sure that your customers understand how you can help them navigate these changing times? And what are you hearing from customers on that front? Are you -- are they already coming in and saying, boy, we like that you offer this. We want your help. Anything along those lines would be helpful. Thank you.
Bob Leasure: Hi Matt, thank you for the question. We have been integrating these services, some of it we've acquired over the last couple of years into our business over the last two or three years. We mainly sell these as part of our discovery sale process and discovery and translational sciences, I should say. And I would say that they have been out there and we're including them more and more and we have seen some of those increasing, but not at the pace people may expect. The computational toxicology, the proteomics are things that we're including in our quotes, people and we're -- and people are becoming more educated about it. And we have some great capacity available as -- and I think it will take off and we are seeing some growth right now actually in those areas. But it's not taken off as much as maybe we had expected start from looking back in 2022. But yes, we have been including those. I think we're becoming much more educated. Our customers are becoming educated. And I think some people are changing their approach. But I think it's mainly right now in the discovery and translational sciences more than probably we are seeing in the safety and efficacy segment. And I'll ask John. John, do you want to add anything to that? John Sagartz is on the phone, and he may have a better insight to this. John, do you have anything you want to add?
John Sagartz: Well, I would just echo what you've said about not really seeing an impact immediately, but I struggle a little bit with what NAMs really means because many of these are old approach methodologies. They've been around for decades, but they obviously continue to evolve. And of course, you can point to examples of genetic toxicology testing, computational tox, quantitative structural activity relationship, primary cell cultures using animal or human cells, cell lines, patient-derived xenografts. These have all been part of our toolkit and I think what the FDA announcement has given us the opportunity to do is to really collate and describe the contributions that they're making to the company and to our industry. As I mentioned, these continue to evolve. We're looking for opportunities to participate in that evolution. But in terms of feedback from clients, customers, not really seeing that emerge at this point. I think one thing I would just mention is that the headlines that came out after the FDA announcement, I don't think really match what was in the communication. And many of the changes that FDA is proposing are things that can be celebrated by innovators because for certain therapeutic modalities, they reflect an ability not to have to check boxes, but to use a weight of evidence approach to evaluating the safety and efficacy of the compounds.
Matt Hewitt: That’s really helpful. Thank you. Maybe shifting gears a little bit, Bob, you kind of spoke to the refined optimization plans for your RMS business or RMS sites that you're kind of going through. It sounds like you're trying to get closer to the customers, if I heard you correctly. Is there -- are there one or two or three items in particular that you're really focused on with that kind, the revised plan? Or is it more broad than that?
Bob Leasure: Well, we announced the plan originally back in December. The revised plan came about a couple of ways. One, we are looking at how to improve our efficiencies and optimize our facilities quite a bit. And also, we can see increasing costs and we don't see necessarily that the small animal market is increasing in size. The number of animals that are being sold are not increasing. So I don't know that we need -- we have the ability to grow, but I don't know that we need to build out that capacity right now. In addition, with the transportation system that we've been able to develop after we acquired it in 1.5 years ago, about 18 months ago, I guess, we've become much more efficient of transporting. And I don't think we need as many facilities all over the place. So we considered all of that and thought about how can we really maximize these dollars. If you look at the dollars that we have already achieved and then you look at the dollars that we hope to achieve on that segment of our business, it's a pretty good-sized turnaround for that business and it's starting to contribute. So we think this is a much better animal welfare plan and much better for our clients and allows us to be much more efficient. It will press us to be much more efficient. And I think that's -- and a much better job planning. And I think we -- as we have evolved, we found that we have the ability to do that. And I think that -- I think this is a great move. I applaud our team for coming up with this. I think it was a much better plan than what we originally are. And I'm glad that they're always evaluating and looking for opportunities to do a better job. And I think this was significant on their part. Not only did we increase the annual benefit, we also accelerated the time in which we can get it implemented and we'll start seeing some benefits immediately. So I think it was really a win-win all the way around. And I just applaud them for continuing to find ways to be smarter and better about everything we do.
Matt Hewitt: And maybe one last one for me, but I think you mentioned during your prepared remarks that you saw kind of an increase in demand in Q1 from the beginning of the quarter to the end of the quarter. How have things started off here this quarter? Are you -- has that increased demand that you exited Q2 with, has that kind of contributed or increased here in Q3? Or where do we sit today? Thank you.
Bob Leasure: Yes, Matt. I think -- remember, we started this quarter, we had a lot of weather-related issues. If you recall, we had a lot of ice. We had a lot of facilities at ice. We had people spending the night at facilities. And I think some -- things seem to start a little slow in January, if you ask me. Quoting was good, but people weren't making decisions yet because I think they're fighting some of the other weather-related issues out there. But whatever -- after it picked up towards the end of the quarter. And so we're able to have a positive book-to-bill, which was we expected. And I would say this quarter, we're now six weeks, I guess, into it, five, six weeks into it. Yes, I've been very pleased with the level of quoting and closing. We've had a great start to this quarter.
Matt Hewitt: Congratulations.
Bob Leasure: We indicated -- and I think you indicated, I think we'll see year-over-year improvement in revenue over the next two quarters for this fiscal year. And I also think that we'll start to see a reversal in the decline of the discovery business that we've seen for the last two or three years. I think we'll start to see that reverse in the next six months. So I'm optimistic on both of those fronts.
Matt Hewitt: That’s great. Thank you.
Operator: We'll move next to Frank Takkinen with Lake Street Capital Markets. Your line is open.
Nelson Cox: Great. This is Nelson Cox on for Frank and congrats on all the progress this quarter. Maybe just starting on the NIH side, maybe talk a bit more about any potential impacts you're seeing out there or not seeing and what the feedback is you're hearing? And then I guess, more broadly, how insulated do you believe your current customer mix is from potential -- from potentially fluctuating NIH funding?
Bob Leasure: Well, I think like the rest, we've heard a lot about the NIH funding. We've heard about proposed budgets. I think that's -- and I think I heard news today, people are debating that, whether that's healthy or not. So I think there's ways to go before we determine what NIH funding is going to do. We've also had, at times, we hear concerns from universities about their funding. But overall, I would say that we've not seen a dramatic impact yet in our business. We do have sales to the government and we do have sales to universities. That is -- and I'd have to ask Beth what -- exactly what percent that is. So we're keeping a close eye on that. But right now, I don't know that we've seen any significant changes as a result of the NIH funding. We may have had one or two customers that have said they're not doing anything. But also on the other hand, we may have one or two customers that are picking up and increasing their orders. And that's not unusual. That's normal in the ordinary course of business. So I don't know that I see anything that I would say is, that's not ordinary yet. Beth, anything you want to add in terms of the mix of what percent we are?
Beth Taylor: Yes. For fiscal year 2024, our government revenue to total company revenue is approximately 7%. And I will say, quarter-over-quarter for Q2, we've actually seen on the DSA side and on the RMS side, an increase in revenue in the government sector, U.S. government sector.
Nelson Cox: Thank you, Beth. Got it. That’s helpful. And then positive book-to-bill in line with last quarter. Last quarter, you talked about there being kind of one large project that drove cancellations higher. I mean, were there any onetime events like that this quarter that may have impacted those metrics or anything to call out there?
Bob Leasure: No, I think Beth indicated that our cancellations were down quite a bit this quarter, weren't they, Beth?
Beth Taylor: Yes, it were.
Bob Leasure: And so I think that that was encouraging. But that -- again, we had a big cancellation in the last quarter. We didn't have any really big cancellations in our Q1. We didn't have any big ones in Q2. Not saying we will or won't have any in Q3. We'll wait and see how that trend develops. But as you look back over 12 months, I think as Beth indicated, our cancellations have started to decrease while our quoting and awards have started to increase. So I think that's overall a good trend.
Beth Taylor: Yes. Quarter-over-quarter, we saw a 28% decrease.
Nelson Cox: Got it. Perfect.
Bob Leasure: And the awards were 27% increase over last quarter. So I think that was -- that's a pretty good indicator of some momentum.
Nelson Cox: And then maybe just one last one. I mean, strong quarter from an adjusted EBITDA perspective and I heard the commentary on expecting continued growth, $8 million in adjusted EBITDA this quarter. I understand you're not providing formal guidance. But given all the moving pieces, is there any other color you can maybe provide directionally that may be helpful as we work on our models?
Bob Leasure: No. I think that in my remarks, I commented on the one area I think we need to improve upon, which is our DSA margins. That deteriorated a little bit over the last two quarters. We gave some reasons for that. Some of those jobs are jobs that are coming through that were probably quoted a year ago. And I think a year ago, pricing was -- there is some more discounts offered than probably they are in the more recent months. But we're evaluating that and making sure that we're going to focus on that. I would like to see us really pick up those margins in the future months. And I have a lot of confidence we can do that between that and leveraging some of the growth that we have going on and the discovery. I think we have some opportunities to do a better job on the margins there. But that's -- I think overall, our G&A costs and some of the things that we're doing, we indicated we thought those would be coming down. I think we're -- right now, those are coming down and we're in pretty good shape.
Nelson Cox: Perfect. Thanks again guys and congrats.
Bob Leasure: Thank you.
Operator: We'll take our next question from Dave Windley with Jefferies. Your line is open.
Dave Windley: Hi, thanks. Good afternoon. Thank you for taking my questions. On the last one, Bob, is that -- are those steps that you've identified in the areas in DSA on margin, things that you think you can impact quickly? Or should we assume that that's a 2-, 3-quarter horizon?
Bob Leasure: I think -- well, first of all, I would say that we just didn't identify with this quarter's results. I think it's been something we've been concerned about for three or four months. So we have been addressing it. And I think we should start to see some of the benefits sooner than later. As a matter of fact, during the quarter, I think we saw improvement between January, February, and March. So I think some of it is in growth and some of it will come in pricing and some of it has come in -- we know that we had some higher cost NHPs. If you recall, last -- in the end of -- or Q1 of '25, we had low margins in RMS because we had higher cost NHPs that were going through that. And those higher cost NHPs were still going through those studies on the DSA side. So that's kind of what related to some of the higher animal costs. And then we had some -- we had additional utilities and supplies that come with some of the weather-related issues. So I think we'll see some immediate benefit. And I'm looking forward to see what we can do as we get that focus. But I'm confident we'll get where we need to be.
Dave Windley: So a couple of clarifications. So the point you're making on the higher cost NHPs, I understand historically, the pointing was to RMS, but you're saying, in 2Q, those higher cost NHPs were still a factor in DSA cost structure?
Bob Leasure: Yes. So they would be -- they would still be on studies that we're floating into the first three or four months of calendar '25. So I think as we go into May, most of those are behind us, but we had some of those still in the system through April.
Dave Windley: We were together at SOT and I talked to a number of other folks there as well as I'm sure you did. One of the themes that I thought was pretty prevalent was an intensification of price discounting. Has that -- and that was, call it mid-March. Has that dramatically changed that quickly?
Bob Leasure: Dave, I think we heard some of this. I think the price discounting six to 12 months ago was bigger than it is today. I think that some of the -- I don't know that it's as prevalent as it was before. I know we don't hear as much about it. But on the other hand, we have some pretty good reoccurring clients that have been -- that haven't pushed. And I think we're offering a very, very fair price right now, too, by the way. So we're not -- I don't think we're at the pricing where we were two and three years ago. So compared to three years ago, yes, there's still some discounting. But I don't think it's a level it was six to 12 months ago.
Dave Windley: And you've kind of answered the question, but I thought it worth asking just to make sure, in RMS, the increase coming from NHP revenue and I think Beth more specifically said higher volumes of NHP sales at lower prices. I wanted to see if the NHP services had any part in that? And if so, how much?
Bob Leasure: Yes. The NHP services actually are continuing to increase. And I would tell you, we're actually bringing a lot of boarding capacity on board this quarter, actually. And so it will continue to increase. But I know for the year, we were going to see about a 20% increase. I don't know what it is quarter-over-quarter. Beth, do you have that immediately available? I don't know.
Beth Taylor: We will -- yes, we'll have it here in a few seconds.
Bob Leasure: Okay. Well, let's stick with that.
Dave Windley: I'll ask you the last question then. So you mentioned in your prepared remarks, continuing to integrate your scientific services. Is that just a reference to continuing to kind of better integrate the acquisitions that you've made over a number of years? Or is there something more specific there like a consolidated client portal or technology stack or something like -- or say, a go-to-market in the sales force that is pulling those together in a different way. I just wanted to explore your choice of words there.
Bob Leasure: Right. I'll do the best to kind of explain what I mean. We believe and I believe that our clients do value speed and time. So we track very closely our ability to deliver what we say we're going to deliver on time. That's a really key component of our business. The other key component to speed is when we integrate our services, we can also help our client and accelerate their speed and the product development. And integrating those services are really critical. But it doesn't -- when we put 14 companies together two and three years ago, we were 14 companies. We weren't integrated. So developing the project management systems that we have developed in-house has taken multiple years, changing the culture to get people to respect those project management systems and use them and have great data in so we have great data out has also been an important evolution of our company. So as we have been able to integrate those services so that we can combine the science, what we learned in the development stage through the safety assessment stage, we can add more value for our clients. And when we add more value and deliver on time and we can accelerate speed, again, that's the value proposition that we are after. So when I say integrate, yes, it means being one company, but it is also how do we integrate and communicate that we create more value for our clients and more speed and improve the ability to interpret that data so we can improve their scientific development schedule. And John, is that -- did I say that right?
John Sagartz: You got it pretty close. Yes, it's a combination, Dave, of making organizational realignments, providing the software tools to be able to track project movement and creating accountability and an expectation that on-time delivery is not an option.
Bob Leasure: Thank you, David. Beth, did you find that data?
Beth Taylor: Yes. Our NHP service revenue did increase quarter-over-quarter by about 10%.
Dave Windley: Okay. Thank you.
Beth Taylor: Thank you, David.
Dave Windley: Thank you.
Operator: And it does appear that we have no further questions at this time. I would now like to turn it back to Bob Leasure for any additional or closing remarks.
Bob Leasure: I'd like to thank everyone for joining today's call. And obviously, we're feeling optimistic with the level of DSA quoting and awards that we're seeing. We were pleased with our RMS results this past quarter and we feel that there is a path to improving the DSA margin starting in Q3 of fiscal '25, stay best. We will continue building Inotiv as a high-touch flexible fighter and strong scientific -- with strong scientific capabilities that is focused on our clients' needs and a positive environment for employees to have a career and grow and generate positive returns for our shareholders. We'll continue to pay attention to these details to get better every day. Also I'd like to add that we are going to be planning an Investor Day at our facility in Rockville, Maryland, on Thursday, May 29. We look forward to further expanding on our strategic plan and our focus on client excellence. Thank you for your time today.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time and have a wonderful evening.